Operator: Good day, ladies and gentlemen, and welcome to the Ferroglobe’s Fourth Quarter 2017 Earnings Investor Conference Call. At this time, all participants are in a listen-only-mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call maybe recorded. I would now like to turn the conference to the CFO, Joe Ragan. You may begin.
Joe Ragan: Good morning and thank you for joining the Ferroglobe fourth quarter of calendar year 2017 conference call. I’m going to read a brief statement and then hand the call over to Pedro Larrea. Statements made by management during this conference call that are forward-looking statements are based on current expectations. Risk factors that could cause actual results to differ materially from these forward-looking statements can be found in Ferroglobe’s most recent SEC filings and the exhibits to those filings, which are available on our webpage, www.ferroglobe.com. In addition, this discussion includes EBITDA, adjusted EBITDA, and adjusted diluted earnings per share, which are non-IFRS measures. Reconciliations of these non-IFRS measures may be found in our most recent SEC filings. Now, I will turn the call over to Pedro Larrea, our CEO.
Pedro Larrea: Good morning everyone and thank you for joining us on the call today. 2017 was an exceptional turnaround year for Ferroglobe and we are thrilled that the business has performed according to our expectations through Q4. Ferroglobe is strongest it has ever been both operationally and financially. The road to this point has not been an easy one because of the market conditions we encountered after the Company was formed, but our disciplined approach has paid off. The Company returned to profitability and to a sound financial situation through a strong and consistent execution of a world throughout sort out actual plan. From our solid and diversified platform, the acceleration of our cash flow generation will take us from the recovery phase in 2017 to further growth in 2018. Now let’s move forward and go into more details. Next slide please. Q4 performed as expected, finishing a consistent performance all along 2017. With results that continue to improve and confirm the recovery from 2016. We posted a quarterly net profit on an adjusted basis and delivered a significant increase in earnings for Q4. In Q4, we delivered a 3.7 increase in revenues versus Q3, 2.1% decrease in adjusted EBITDA versus Q3. Net profit of $32.1 million with an adjusted net profit of $11.1 million compared to $9.2 million for Q3. Volume recovery coupled with increases in average selling prices across most core products and short performance for Q4 was as expected. EBITDA margin was slightly lower by 70 basis points at 11.7% for the fourth quarter compared to 12.4% for the third quarter of 2017, due to some seasonal and one-off cost increases. We believe that this recovery trend is a result of well sort out approach to respond to the market dynamics by on the one hand and strength and focused commercial strategy, and on the other hand adopting flexible industrial operations by optimizing our production facility. Next slide please. 2017 has represented a continuous and sustained recovery. In Q4, you can see that strong revenue contributions from silicon metal and silicon base alloys more than offset a modest revenue decrease in manganese-based alloys due to lower shipments in the quarter. These three product areas have contributed differently to our revenue growth over the fourth quarter with silicon metal increasing 5% over the prior quarter while silicon based alloys increased 11% and manganese-based alloys decreased slightly by 2%. In addition, our vertical integration and diversification of product mix uniquely positioned us to benefit from market filtrations and it is this business agility that has and will continue to sustain us and fuel our growth. Similarly to last quarter, our revenue contribution is diversified across our three primary products, with silicon metal still the largest contributor at 43% followed by silicon-based alloys at 26% and manganese-based alloys at 21%. Other products make up the remaining 9%. Our three main products families are now providing nearly equal contributions to EBITDA, which allows us to maximize opportunities due to improved prices and ensure more balanced on diversified business mix. Further, this product served an even more diverse group of growing end markets with silicon metal used for aluminum, silicon in solar products, while manganese-based alloys are used for steel and silicon based alloys for different grades of steel and foundry. Next slide please. Turning to discuss our sequential contributions to sales growth in the fourth quarter of 2017, sales were $468.2 million, up 3.7% from the previous quarter. Selling prices for Ferroglobe’s key products continued to improve over the course of the quarter and the fiscal year across both North America and Europe. Both silicon metal and silicon alloys prices and volume improvements were a key driver in the quarter. Silicon metal experienced a significant improvement driven by strong demand. Manganese-based alloys showed a slight decrease in volumes due to planned outages in one of our production plants in Spain. Our ability to optimize our core product mix based on price and volumes in an agile way and strong sales approach ensure, we delivered quarter-over-quarter growth while protecting our margins. Next slide please. On the next three slides, we will discuss pricing and volume trends, earning contributions and market observations for each of our key products. Turning first to silicon metal, as you can see on the chart, market prices have continuously trended upward over the past several months and the market continues to move in this direction. Consistent with this trend, our average selling price increased by 4.7% from the third quarter to $2,440 per metric ton, as credit actions and strong demand continues to show their influence. European prices during Q4 have been gaining positive momentum in light of increased costs and favorable exchange rates in different locations worldwide particularly China. We obtained stabilization of demand and volumes across our core products with silicon metal experiencing 0.4% increase compared to Q3. We are now at shipment grades almost 85,000 tons per quarter that are approaching maximum products and capacity. The increased cost of reflection of the proactive annual overhaul of several plants in additional to seasonal increase in energy prices in Europe as well as restart cost for summer. Both overhaul and increased production capacity will make a positive contribution throughout 2018. Next slide please. Now moving to silicon-based alloys, the average selling price increased 5.8% from the third quarter to $1,741 per metric ton, higher than at any point in Ferroglobe’s records. Sales volumes experienced a 5.3% increased quarter-over-quarter. Ferrosilicon prices remained at historically strong levels with European prices 12% higher this quarter following an increase in China pricing. Steel and foundry industries are performing very solidly all over the world increasing demand for our silicon based alloys and tightening the supply demand balance in all markets. Next slide please. Turning now to manganese-based alloys, the average selling price for manganese alloys decreased marginally from the third quarter by 0.2 % to $1,346 per metric ton, which is still the second highest level in over five years. Manganese alloys has started to face pricing pressure towards the end of Q2, but have remained basically flat since while manganese ore prices have been trending up and will lower the margins in the first months of 2018. Manganese ore prices are continuously increasing and we expect this trend to eventually reflect in a manganese alloys price increase in the coming months. Sales volumes were also slightly down 1.7% from the prior quarter due to overhaul in one of our Spanish trend but have been up towards the year. Our plans are continuing to run at full capacity and we expect demands to stay strong. Next slide please. Our commercial strategy yielded strong results during the recovery throughout 2017. It confirms that the difficult decisions we made were the right ones. We continue to optimize our business platform and reach the benefits of our vertical integrations and diverse product portfolio, which allows us to quickly adapt to a dynamic market. Some of these activities include optimization of production facilities and minimizing downtime or conversion of fairness to capture market opportunities as they evolve, while the adjusted EBITDA had a slight decrease for Q4 of 2.1%. This is not indicative footprint. Costs in Q4 were affected by three non-recurring factors. One, of course of $5.4 million mainly due to overhaul in some of our facilities, increased energy costs in Europe, and increased manganese alloy prices. Next slide please. For the calendar year of 2017 as a whole we delivered a substantial turnaround with 10.5% increase in revenues versus 2016. Net profit increased to $20 million versus the net loss of $358.6 million in 2016, a 163.9% increase in adjusted EBITDA compared to 2016. Our adjusted EBITDA margins more than doubled by 620 basis points to 10.7% compared to 4.5% for 2016. Our vertical integration and optionality in geography, foreign exchange on product mix have posed us excellent business agility, allowing us to capitalize on dynamic changing market forces. And with the recent acquisitions of two manganese alloy facilities, we have doubled the size of our manganese portfolio which will have a significantly positive impact on our business going forward. We will continue to execute our strategy in the smart and disciplined way. Taking a rationale safe approach to our primary markets. Our strong performance has driven both by a significant improvement in external environment as well as actions taken by Ferroglobe during the back period. And the external of environment prices for our key products continue to improve over the course of the year. In addition to improve pricing, the Company saw stabilization of demand and volumes across its core products. With average sales price per ton increasing across three key products year-on-year from between 3% and 15% for silicon metal and silicon based alloys respectively to 61% for manganese based alloys. At the same time, actions across the Company taken in these prior quarters in short, we were able to fully capture the benefits of these strengths. The disciplined execution of our commercial strategy is focused to enhance our profitability and in addition to general price recovery, we continue to focus on delivering contracts above spot and index prices. As a result, we are optimizing our production facility and operating near full capacity utilization. We will benefit from these capacity research beginning Q1 and throughout 2018. Ultimately, these dynamics will significantly accelerate our EBITDA generation beginning Q1. Next slide please. As previously stated, average selling prices of our core products have shown a significant increase. This price recovery is the most relevant factor in the excellent EBITDA performance through 2017. Increased costs in 2017 compared to 2016 were predominantly attributable to manganese ore cost and foreign exchange impact. Meanwhile actual operational and SG&A costs were kept under control even in an environment of increased production and inflationary pressures. Next slide please. As we managed through the cycle in 2016, the Company as a whole made a tremendous effort of financial discipline and focus, reducing working capital by almost a $100 million back yet. It may be worth remembering that this allows Ferroglobe to generate positive free cash flow during the downturn. Once our sales volumes and prices started to recover throughout 2017, it remained a priority to continue to reduce working capital which we have turned by an additional $80 million dollars. We have achieved this by reducing the results through the securitization program, to optimize the velocity of working capital. As you can see at the bottom of the chart, there have been significant improvements in the fixed cost areas of the business around the world. We have reduced those costs by more than 20% or a $140 million since 2015, through the implemented synergies program, sharing of best practices and disciplined capacity management. Approximately $50 million of those cost reductions correspond to plans that have been idled, and a significant portion of these $3 million will be restated as those facilities are being restarted. With this, let me now turn over to Joe for a review of financials for both Q4, and calendar year 2017.
Joe Ragan: Thank you, Pedro. Turning to next slide, the Slide 16, it is important to note that the financial results presented are unaudited and maybe adjusted for certain items including contemplated non-core asset sales. These items will be properly reflected in the 20-F, Annual Report that we will be filing in April. With that said, sales volumes was 226,558 metric tons for the fourth quarter, up 1.2% from the third quarter and net sales were $458.2 million, a 3.7% increase compared to the third quarter. Average selling price across all products was $0.85 per pound up on average from $0.82 per pound in the third quarter or 3.7%. For Q4, we posted a net profit of $32.1 million or $0.19 per share on a fully diluted basis. On an adjusted basis our net profit was $11 million or $0.06 per share on a fully diluted basis. For the year, volume was 883,024 metric tons, down 2.9% from 2016 and net sales were 1.7 billion versus 1.6 billion, up 10.5% year-over-year. Additionally for 2017, we posted the net profit of $20 million or $0.15 per share on a fully diluted basis. On an adjusted basis, our net profit was 21.5 million or $0.13 per share on a fully diluted basis. We reported EBITDA of $48.9 million for the fourth quarter down from $54.3 million in the prior quarter. On an adjusted basis, EBITDA was $54.9 million down slightly at 2.1% from the third quarter of 2017. For 2017, we reported EBITDA of $170.9 million up from a negative EBITDA of $247.4 million in 2016. On an adjusted basis, EBITDA was $185.8 million an increase of 163.9% compared to $70.4 million adjusted EBITDA in the prior year. During the quarter, we continued to adhere to our strategy of optimizing our product mix offset by higher costs, which resulted in an 11.7% EBITDA margin compared to 12.4% for the third quarter of 2017. For the full year 2017, we achieved EBITDA margin of 10.7% compared to 4.5% for 2016 an excellent improvement and validation of our strategy and execution. Total working capital for Q4 was decreased by $89 million primarily as a result of implementing the accounts receivable securitization facility. For 2017, we reduced total working capital by $80.4 million. We continue to generate positive cash flows with Q4 operating cash flows of 61.6 million and free cash flow of 23.3 million. Total free cash flow for the year 2017 totaled to 82 million. Next slide. We ended the fourth quarter with net debt of 386.9 million down compared to 394.3 million at the end of the third quarter of 2017 and $405.4 million compared to December 2016. Our net debt ratio is continued to improve as profitability has increased sequentially. Next slide. On this slide, you will see our debt evolution overtime. On a quarterly basis, net debt was down from the prior quarter and currently stands at $386.9 million net and $571 million gross for the fourth quarter down from $394 million net and $584 gross respectively in the third quarter. In addition, our debt is down from $405 million net and $601 million growth year-over-year. We remain committed to continue this trend reducing our nominal debt balance as well as improving our leverage, which is now slightly higher than two times EPS. Next slide. We remain focused on carefully managing our cost structure and ensuring strict control in our operations. As you can see, we ended the fourth quarter with working capital of 288 million, a significant reduction while sales increased by 10.5% over 2017. Next slide. Before I hand the call over to Pedro I'd like to quickly reiterate some of the key highlights of our financial performance for 2017. As mentioned our adjusted increased 163% in 2017 to $285.8 million up from an adjusted EBITDA of $70.4 million In 2016, we continue to generate positive cash flows during the fourth quarter the Company generated its operating cash flow of $61.3 million and free cash flow of $24 million with total free cash flow of $82 million for the calendar year of 2017. And we continue to maintain our strong balance sheet and reported net debt of $387 million down compared to $405 million at the end of 2016 in just one year we revolved from high leverage levels to around two times to net debt to EBITDA. In addition this morning we closed a new $250 million revolving credit facility that matures in 2021 with two one-year extension options to maturity. This is international facility that completes the recapitalization of the Company at the Ferroglobe PLC level. We remain focused on delivering long-time value to our shareholders in a number of ways and more specifically by evaluating business decisions like M&A and CapEx and pursuing them that they are immediately accretive to Ferroglobe. As such, we will continue to maintain our conservative capital structure and alert to our company in good position to act quickly on growth opportunities when they are attractive, but also providing flexibility in case of a downturn. Lastly, we remained committed to pursuing cost improvements through technical performance, portfolio optimization and SG&A streamlining. Now, I’ll turn the call back to Pedro for some closing remarks.
Pedro Larrea: Thank you, Joe. Over the past few quarters, we have been receiving a lot of questions around pricing given the recovery; however, it is equally important to highlight the supported trends across our end markets. Fundamentally, in aluminum and steel, we are seeing similar trends which support the pull-through demand we are currently experiencing. When we look at the capacity side of the equation in these end markets, both industry are operating at healthy utilization rates in the 70% to 80% rate in line with historical averages. This discipline in the market generally results in a favorable pricing environment for a period of time. The Chinese crackdown on financial non-competitive and environmentally non-compliance aluminum and steel capacity across industrial space has also benefited investment product in other regions, and we expect this trend to continue. Our steel and aluminum customers are well positioned to benefit from changes in regulation. Another interesting data point in our view is inventory levels trend for the aluminum and steel in sectors. Global aluminum stocks are near nine year low while global steel stocks are near five year low, with a relatively strong global economic backdrop and rationalize production we expect that there will be a continued pull through of demand as producers and the signatures look to build up stocks back to historical levels. On chemicals and silicon, we are seeing strong North American market. In Europe, we expect the chemical sector to slightly outpace GDP which the World Bank forecast at 2.1% growth in 2018. Lastly, turning to polysilicon and despite the going new trade barriers imposed by both China and the U.S., the fundamentals remain strong on a global basis. The overall photovoltaic installations projected for 2018 is over 100 gig watts. We are seeing a pickup in activity in emerging markets and countries, which are now adopting energy policies focused on renewable. Overall, our global production footprint will allow us to make the necessary adjustments to capitalize in continued growth in solar as activity in new parts of the world start to accelerate. Next slide please. Overall, we grew positive above the demand from the mentors across our end markets, which are supported by ongoing and emerging mega trends. Trends such as population growth, Urbanization and increasing consumer spending fundamentally drives the demand for the 1,000s of products where fair growth metals and alloys are essential. Additionally, we are excited by developments in areas such as energy efficiency and reliance on technology which are driving innovation. As companies try to create solution in these areas, there is an increasing need for new advanced materials. The growing need for advanced material is further more supported by favorable supply dynamic globally. I've just mentioned the evolving situation in China with respect to aluminum steel and other industries. This is suddenly benefitting Ferroglobe’s European business across our product and we expect this trend to continue in China in 2018. At the same time, there isn’t significant new capacity coming online in our industry. Increased costs in different parts of the world are discouraging new capacity additions and are also placing the floor on the prices of our products going forward. Some producers are switching overcapacity from one product to another, but our unique position in this industry allows us to take advantage of this trend by optimizing our production portfolio across the different product families. Next slide please. The acquisition of the manganese-alloys plants in Norway and France was completed on February 1st. This acquisition represents the return of Ferroglobe to its strategy of growth to value enhancing acquisitions in its businesses. The acquisition is immediately accretive for Ferroglobe and enhances the value of our business through additional volume under the diversification with very limited upfront investment. The newly acquired plants almost double our production capacity in the manganese-alloys business diversified to our production platform to three countries. Our positions Ferroglobe as one of the most significant players in the manganese-alloys and manganese-ore markets. More detailed on financial of these two plants and on the return of investments will be provided on the Q1 2018 results as we consolidate them in our count. Next slide please. In closing, 2017 was an exceptional year for Ferroglobe and we are thrilled that the business has performed according to our expectations through Q4. The Company return to profitability through a strong and consisting execution of business fundamental and our cash flow position is better than ever. We have taken this action in 2017. We have remained focused on operational excellent and have captured significant cost improvements and we are committed to continuous improvements to our KTM program. The entire organization has successfully adopted it's mindset to an acceleration and working capital velocity and has been able to generate significant free cash flow and we have rigorously executed our commercial strategy and continue to work on that brands recognition in existing and new markets. We expect prices to continue to improve in the near future and we remain focused on effectively capturing this trend. We are now well into the contraction season for 2018 and we are glad to see that we are being able to communicate to our customers, our view of the market evolution. All in all we expect a sustain performance across our business as we move into Q1 and Q2 and throughout 2018. We are glad about the trend of our business and we remain committed to improving profitability in the short-term and medium-term. This open a new exciting create for Ferroglobe. We now have multiple options to grow our business through technological innovations and new acquisitions and the same time it includes our financial strength and contemplate different alternatives to return value to our shareholders. All-in-all Ferroglobe is back to our plans but we will provide multiple opportunities for growth and value to all our stakeholders. With that, I'd like to open the call up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Martin Englert of Jefferies.
Martin Englert: So you've detailed about 5.4 million of one-off cost but also called out some other costs incremental to that such as electricity and ore. What do you think the total one-off costs were for the quarter including those items too?
Pedro Larrea: Just the total of those items is around 10 million but consider that in Q1 some of that will remain, so like manganese ore prices are still high and seasonally energy prices in Q1 in Europe are also high. So when you think of Q1 compared to Q4, those may remain at those levels. So, all in all if you compare Q4 to Q3, you can talk about one-off’s that are -- for those two items at around 10 million, but that doesn’t mean those necessarily all of them go away in Q1. Certainly, the 5.4 one-offs do go in Q1, thus not all of them necessary.
Martin Englert: And when I think about the full year moving though 2018 and any kind of sustained cost step ups, can you provide some detail on any anticipated step ups versus 2017 for items like electricity. electrode, coal and FX?
Pedro Larrea: Well. I think we have talked a lot of electrodes. I think electrodes when and comparing to 2018 to 2017 is going to be several 10s of millions of dollars comparing 2018 to 2017. Then electricity prices because in Europe they are seasonal and volatile. We still don’t know but there is going to be some impact of power prices in Europe, which could more or less replicate what we have had in Q4 at the end of this year. But again, it depends a lot on a number of factors affecting European power markets. So that is a volatile number. And in terms of ore, we see ore -- manganese ore I mean manganese ore levels are going to stay at pretty much we believe where they are today. But we also are very confident that this is going to push manganese alloys prices up. So in terms of margin we expect a recovery of margins as we go through 2018.
Martin Englert: And if looking at the Company’s footprint now, if you were to mark-to-market annual EBITDA run rate on today’s spot prices, looking at U.S. silicon rate about €44 per pound, 122 ferrosilicon is pretty high at around $0.80 to over $0.90 per pound. Any idea of the range of EBITDA on a mark-to-market each generate with the current footprint in assets?
Pedro Larrea: So, Martin, I think you can run those numbers and as you know we don’t provide guidance. We are very confident we are optimistic about the trend of the business in Q1. We know what is going on into the markets as we were saying demand is strong. There is rationalization in our end markets. We see just a way of good trends both in terms of volumes and prices in our materials in our markets. And we remain very confident that the trend is very, very positive for Q1 and going forward.
Operator: Our next question comes from the line of Ian Zaffino of Oppenheimer.
Ian Zaffino: Joe, I think you mentioned a lot of M&A maybe with use of cash. Where does maybe buybacks or maybe a resumption of the dividend fit in you are thinking?
Joe Ragan: We certainly -- that the board is considering all of the capital allocation alternatives. We haven't done really a significant cash usage from M&A. So we've done very smart M&A transactions that have been very low in cash levels. So, the board is considering the dividend policy and we'll let us know.
Ian Zaffino: And then when you think about buybacks maybe give us a comment on that? And then as far as M&A, what do you looking to achieve through M&A? Is it different alloys? Is it -- what do you want to kind of do on the M&A front?
Joe Ragan: I'll take that buyback question and Pedro can take the M&A. We are looking at buybacks and the total context of capital allocation. So, as we talk about dividends which we like dividends, we've been a dividend payer in the past and we've done stock buybacks in the past as well. So we are looking at all of those options. So we'll let you know as soon as the decision. I'll Pedro do the M&A.
Pedro Larrea: Yes, I think we've been very-very clear in the past we are a company that has traditionally grown through acquisitions. We will continue to do that. We are actively pursuing opportunities all the time. We have -- we're looking at different alternatives I would say on a daily basis. We are in principle restricting ourselves to the industries in which we are already. We are not looking at diversifying into other industries so that is our focus. But we think our industries, we are looking at geographical expansion and also in some cases we may be contemplating vertical integration.
Operator: Thank you. Our next question comes from the line of Vincent Anderson with Stifel.
Vincent Anderson: Just a quick point of clarification. Did I hear correctly that you audited year-end results, you may see some assets move to health for sales status and if which assets with those potentially be?
Pedro Larrea: Yes, we are looking at some of our small non-core assets. They are just not -- they're not manufacturing facilities. So it's a small number. I -- we haven't disclosed that those transactions. So I just want let you know that we could move some, but it won't be a very big number.
Vincent Anderson: And then when you look at your 2018 European silicon metal book, how much of your 2018 capacity right now is available through the U.S. market, if economics warranted? And on kind of a go forward basis, how much of your European silicon metal capacity would you consider to be dedicated to that market due to ongoing customer relationships or minimum market share that you want to maintain? And how much could conceivably be redirected elsewhere?
Pedro Larrea: Well, I mean we are off-course now expecting very shortly in the coming first phase and then we are final determination on rate cases in North America. And a lot of what are the original movements may depend on that. So I would prefer not to give our views today and so we know all the plan of determinations. So at the end of the day, we see strong demand across our businesses and specifically on silicon metal. I think there is going to be good news in terms of the pull through of strong demand in our end market. And we have visibility which nobody else in our industry has of allocating our production capacity depending on where are the best opportunities. We will do that and we will be running at full capacity. Now, where those terms go we will see as the market and the rate cases are prioritized.
Vincent Anderson: And if I could ask one more given maybe a little bit more detail on M&A, would you consider an acquisition in the UMG or polysilicon arena, if the technology was competitive with what you are developing in house? And then switching gears, you mentioned at your Investor Day that China remains a strategic area of interest for acquisition. Are you currently seeing opportunities to develop there as a result of this particularly disrupting winter in terms of assets available for sale? Or is there still too much uncertainty around the precise implementation environmental controls to be active in China right now?
Pedro Larrea: Well, that's a lot of questions so I'll try to -- I mean, we. At time, we'll say we are looking into different opportunities both of expansion geographically in our own businesses on vertical integration. Would we look at polysilicon production? It’s certainly one of our priorities but it is true that we are developing our own polysilicon technology in our polysilicon production. So very soon that will be part of our business. And of course we will need to be attentive to opportunities in that arena. It’s certainly not the priority for us but it is something that we would be ready to analyze. In terms of China I think the what is very interesting going forward in China is whether there is a rationalization of the industry as a whole, as its happening in other industries, we believe that will happen and we are analyzing the dynamics there. Right now we are looking at nothing specific in China. But we remain again just very attentive on what are dynamics and how that is evolving in the coming years. And if the time is right we may be looking at specific opportunities. As I said nothing at this point in China that is specifically in opportunity we would be looking at.
Operator: [Operator Instructions] Our next question comes from the line of Sarkis Sherbetchyan of B. Riley. Your line is now open.
Sarkis Sherbetchyan: So first, just wanted to go back to the Slide 8, on the silicon metals snapshot pricing trends, it looks like the index is for both the U.S. and EU that you've displayed for 4Q were above your average realized price. Can you maybe give us a sense for, if the prices that you are booking into 1Q are above those benchmark rates or not?
Pedro Larrea: So I think we have described in the past, there is two effects that have -- that drives our average spending price being below the index. One is the fact that of course we booked some fixed price volumes at the beginning of the year. The other is that some of the index contracts are index on previous month. So, you would always see a bit of a lag, a time lag in the price recovery. As we go into Q1, we see that correcting. So, we will be having average selling price that is much more in line with the index system sales, as we could say we rebased our pricing to actual pricing. There would be still a bit of a time lag with some index contract, but all in all we will be much more in line with the index.
Sarkis Sherbetchyan: And then I think on the last quarter's call, you disclosed securing volume I think it was 60% of your expected sales that we negotiated above run rates. Can you maybe give us the sense for what that book of business stands? Is it 60% plus contracted? Or are you kind of retaining the balance for flexibility in your view of the market?
Pedro Larrea: I would say it changes a lot from one product to another. Silicon metal in 2017 was 43% of our sales. In 2018, it's going to be with acquisition of the new manganese assets. It's going to be more around 35% or so. So bearing that in mind, if we talk about silicon metal, we have vote or secured a volume that is somewhere around 65% of our total expectation. Now, just new ones is that because some of those bookings are let say for instance quarterly bookings. If we assume that those quarterly bookings would be renewed in the coming quarters, which is I would say a reasonable assumption to some extent then our bookings would be more around 80% which we think is a reasonable number. And we leave some space for additional bookings and for increased price as we go forward. In rest of the products are both for a silicon and manganese-alloys they work much more on a quarterly basis and prices and bookings are more done on a I would say more on a real time basis than on a on annual basis.
Sarkis Sherbetchyan: And as you've discussed the 5.4 million in incremental kind of one-off costs here for the overhaul of the production plants and restart et cetera. Do you anticipate on some carryover spillover of these costs for 1Q or 2Q anything that we should expect on that front?
Pedro Larrea: No nothing on that specific front.
Sarkis Sherbetchyan: And then I think you mentioned your expectation for a little bit of compassion for us on the manganese-business as ore. This is rising in the I suppose you expected some price recovery there so then help you on the margins. Is that something we should expect maybe for the second half of fiscal 2018 or earlier?
Pedro Larrea: I mean we are seeing interestingly we are seeing dynamics that are very similar to what was happening little more than a year-ago where all started going up significantly and then manganese-alloys followed. And then manganese-ore actually went down and manganese-alloys stayed up there. We think it is likely that the dynamic similar to those once maybe happening in this year. So, I would see again as you mentioned I think you are right we would see some margin compression in Q1 and Q2, and we expect a recovery in the second half of this year.
Sarkis Sherbetchyan: Understood. And finally on the U.S. trade case. Any comments here as the hearings have been underway and obviously there is some public data that’s been filed for those hearings. So, just any comments that you can share on either expectations or just what you are seeing real time?
Pedro Larrea: Well, we have always said this. We -- it is in our view and in our opinion that is why we acquired the cases. We think there was unfairly trade of material coming in, in 2016. We believe that data are strong in that respect. It is also clear that that injured the local industry. We are also very strong and very confident that the argument is solid. And we now just need to expect PLC to come with department of commerce with final determination we think tomorrow and then the international trade commission in the coming few weeks. But we are of course confident that our arguments are strong.
Operator: Our next question comes from the line of Martin Englert with Jefferies. Your line is now open.
Martin Englert: Just a few follow-up questions here. Can you remind us of the U.S. and Europes silicon metal fixed contract exposure and any detail that you could provide on how contracts were settling on those in 2018 versus 2017?
Pedro Larrea: Yes, we are -- and again talking about silicon metals around 60% of our sales for 2018, are on fixed pricing. Now when you look at average pricing for 2017 at 2200 and something slightly less than $2,300 per ton, and you look at where the indexes are today in silicon metals, I mean as I was saying, you could be expecting 2018 sales to be pretty much in line with current indexes all in all taking all the different countries index prices and time lag et cetera. So the increase 2018 to 2017 is very significant.
Martin Englert: And then a couple items on modeling and run rates, expected the tax rate through 2018 CapEx depreciation amortization. And then how your interest expense may look with the new facility here on the current debt load?
Pedro Larrea: Yes, 31% on the rate for 2018 going to 29% in 2019. We will update CapEx of 80 million to 100 million per year and that’s all maintenance CapEx. Depreciation should stay around 100 million to 120 million. It depends on the step up value of the acquired manganese assets. So, we don’t have that exact number yet for depreciation. And interest will stay similar where we weren't drawn on the revolver, so the new revolver is slightly lower, but we don’t think we have very high drawn variances. So, that will make big impact for the year.
Martin Englert: So similar interest expense run rate as to what we have been seeing in some recent quarters more or less, correct?
Pedro Larrea: That’s correct, slightly lower but similar.
Martin Englert: And then, anywhere we should be thinking about allocated to non-controlling half of the earnings in 2018?
Pedro Larrea: Not sure I understood that, Englert
Martin Englert: Earnings allocated to non-controlling interest?
Pedro Larrea: Similar to production JVs, we'll have similar allocations in 2017.
Operator: Thank you. And I'm showing no further questions at this time. I'd like to hand the call back to Pedro Larrea for any closing remarks.
Pedro Larrea: Well, thank you very much everybody for listening to us today, as I was saying again, we think we are opening a new very exciting period for Ferroglobe, and we look forward to returning value to our shareholders and to all our stakeholders. Thank you very much again.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone have a great day.